Operator: Thank you for standing by, and welcome to the IGO Limited First Quarter FY '26 Results Call. [Operator Instructions] I would now like to hand the conference over to Mr. Ivan Vella, Managing Director and CEO. Please go ahead.
Ivan Vella: Thanks, Darcy. Good morning, everyone. Thanks for joining, and thanks for those of accommodating our time change. We just wanted to avoid a clash. I'm sure you've all got a busy morning of calls lined up. Kath's with me again this morning, our CFO. She will cover some of the financials. I'll jump in and just run through a bit of a summary, and then we can get into some Q&A. First of all, on safety, look, we signposted last quarter that the results of the hard work we did through 2024 are starting to flow through, and we saw that again through the last quarter. We're delighted to see a period of over 90 days without an injury, and that for IGO is a record as far as I can see back in the history and an indication of that steady improvement in the way that we're managing safety and the maturity for our operation. The TRIFR has started to trend down, which we'd expect and that should continue as we keep the focus up. Still lots to do. There's no question you don't turn safety around and build a strong, mature set of systems and culture overnight, but I'm pleased to see that steady progress. In terms of the operations, I'll start on Greenbushes and what's very clear, obviously, is the production was well down from prior quarters, and that was a function predominantly of grade, and you'll see that in the fine details in the quarterly report. There was quite a step down from previous quarters. And that's a function of where we are in the mine plan. I'll come back and talk more to that in a minute, but a big impact from that. Of course, that was then compounded by weather. Many of you will know that Southwestern Australia had one of its wettest years in a very long time and particularly down in the Southwest, that's very impactful, both in terms of impacting ore movement or material movement, but also covering -- standing water covering parts of the ore body and the ability for us to access that was limited. So that flowed through into sales, obviously, unit costs, still great to see through the cycle. Right at the bottom here, we're generating nearly 60% EBITDA margins despite some of those challenges. On Nova, look, we -- tracking to plan, really, it's getting to the end of the ore body. We signposted that and said we've got a tight plan. And I think we had a couple of strong quarters to finish late last financial year, this first quarter. I'll talk to the misfire in a minute. But aside from that, actually tracked really well. The team is doing a good job managing the challenges. It is complex and more difficult as they have less options. And obviously, the ability for them to flex their schedules are much more limited, but they've managed through that well, and Nova is continuing to perform as expected. On Kwinana, look, a lift in performance there, and that's been a long time coming that step from what was done in the shutdown late last year. Naturally, that flows through into conversion costs and other factors. And for us, every bit of improvement is a real positive and something that does reduce the cash burn. So that's, I guess, how I look at it, the good work the team is doing, and I've been nothing but supportive and given them credit. They try extremely hard to work on the asset to try and get it stable to try and get it to perform, and that does reduce the cash impact. Ultimately, it doesn't change the long-term economics in our view, but it is nice to see those improvements. They're also being very frugal with cost and CapEx and so on. There's certainly no waste there. It's just a very challenged asset with a very difficult pathway to full production. More broadly, look, I won't get into the financials. Kath will cover those. But I mean, other key highlights to take away. I think the Forrestania transaction is progressing, and we expect that will close as sort of signposted later this year. And Cosmos, a big milestone, which is a sad moment, but we took the decision to stop dewatering the Odysseus mine, the underground nickel there after a pretty extensive technical economic assessment, hard call, but that's a function of where the nickel market is at and the challenges of extracting that ore economically. So those are some of the highlights. Let me just dig into Greenbushes in a bit more depth, cover a few things there. I mentioned the grade being obviously a primary driver of performance there. And there is a big pushback underway, which I've talked about in previous quarters. That's progressing. At the end of the day, that opens up that high-grade core, which is where all that critical value is. And that's still a work in progress, hence, why we're seeing this sort of step down in grade. Naturally, as we finish the work on that life of mine optimization and open up the mine plan, we'll try and look to stabilize grade. But ultimately, you want to drive value first and foremost. And the grade isn't consistent across the ore body. And so we'll work through that and determine what's the best schedule and sequence to get through that. The Talison team are doing some great work there. Speaking of that work, the life of mine optimization work is continuing, and we'll naturally see some real benefits from that as they get into that more deeply, understand what part of the ore body will be accessed through the surface mine, what part might come through underground and ultimately, how we get the best value from the ore body. In parallel to that, and I think you can almost consider it as 2 separate pieces of work is a broad productivity program. Adam Mallerspiener is up and running and doing a stellar job there as COO, working with Rob, and he got a deep pedigree in this kind of productivity program, got that stood up, looking at asset management, looking at throughput and recoveries, all of the different aspects that you'd expect. And again, we've talked about broadly in context in the previous quarters, he's getting those programs moving. And obviously, that will start delivering results quarter-on-quarter. So that's, I guess, the kind of the key headlines for Greenbushes. I mentioned that sales was lower quarter-on-quarter, which is a flow-through from production. And the last point to note is probably just pricing, and there was quite a lot of volatility through the quarter. And we, as you know, have a 1-month lag on our pricing, so as that washes through, we'll see the pricing play out. Overall, what we have seen though is the realized pricing that Greenbushes is achieving is actually really strong if we look back through the trend and compare it with our peers in the industry. So a very simple model. There's no big sales and marketing effort. It really is just a 1-month lag on the PRAs, and that actually delivers a pretty good outcome. On Nova, not too much more to add there, really. I think just to talk to the misfire, there was one stope there that had a misfire, which, I guess, first and foremost, didn't result in any safety concerns. And then in terms of recovering it, that's where the safety starts and the team did an extremely good job risk assessing that and working through how they'd recover it. They've done an outstanding job and effectively there's not going to be any long-term impact in our mine plan. There may be a small amount of tonnes that we don't recover, which we're assessing at the moment. But ultimately, the teams worked through that very effectively. The other point to note there is the closure planning. That's progressing well. We've got a very strong team on that. And as again, we've signposted our intent is to have the study work done, the approvals in place so that we can move directly to closure at the end of production late next year once the ore bodies run out. On the lithium production at Kwinana, I think I've covered the key points, step-up in production related step down in the unit conversion costs. CapEx was pretty modest. The team is into a shutdown this month, and there's obviously more projects focused around that. But overall, the team has continued to work extremely hard to try and get the asset to perform to lift production rates to continue to deliver high levels of battery-grade product, and I give them full credit for that. As I said, though, it doesn't change the degree of challenge on the economics for the asset as we look into the industry. I'm sure everyone on the call knows that the Chinese refineries are extremely competitive, running at about USD 3,000 a tonne, some actually below that, but that's kind of the benchmark of the industry. And it's very difficult to see Australian or to be honest, Western refineries getting anywhere near that level of performance, not dissimilar to other processes like copper or aluminum where China continues to demonstrate extremely capable downstream processing in the way that they operate. I might -- I'll hand off to Kath in a second. But maybe just a couple of other quick points on exploration. We put in a small update in the quarterly. I didn't put a slide in on it, but there's a number of lithium targets that we've been working through testing and will continue through this field season and probably some run into next year. Nothing more to report at that point, continuing to rationalize the ground and clean up the portfolio across our exploration team, the tenements. We've gone through the fine tooth and we're managing that quite well. There is some generative work going on around copper, again, which I've mentioned previously. Nothing material to report at this point, but the team has got some interesting things they're working through. And I've already covered Cosmos and Forrestania in terms of the key news there. So look, I might hand off to Kath to just run through some of the key highlights in the financials.
Kathleen Bozanic: Good morning, everybody. Stepping through the financials this quarter, revenue was down with Nova having one less copper shipment and also realized prices being lower. The Nova EBITDA was lower on the back of lower revenues and underlying share of net profit from TLEA was also down from the lower sales at Greenbushes. It's important to note that we are expensing capital at Kwinana, having impaired the asset to 0. Underlying EBITDA was higher as it includes the movement in the mark-to-market listed investments with the prior quarter impacted by the expensing of rehabilitation provision, which increased last period. We remain laser-focused on cost noting that corporate costs continue to trend down, and you will see in the cash flow that it is a higher number. That's a timing issue around payment of short-term incentives only. There's a reduction in costs at our care and maintenance sites, including the decision to cease the dewatering at Cosmos and heading towards the completion of the sale of Forrestania, as Ivan noted. And we've got reduced capital spend at Nova, where we expect the run rate to continue to reduce as we head towards closure. Free cash flow was positive at $15 million, and this included $12 million of spend on care and maintenance at Cosmos and Forrestania sites. Finally, our balance sheet was further strengthened with net cash increasing to $287 million. I'll hand back to Ivan now to give a summary.
Ivan Vella: Thanks, Kath. Well, let's -- I think let's jump into some Q&A from here.
Operator: [Operator Instructions] Your first question comes from Hugo Nicolaci from Goldman Sachs.
Hugo Nicolaci: I just wanted to dig into the grade and weather piece more at Greenbushes, particularly given the simplified disclosure, no longer has the mine physicals in it. Are you able to just give us some color on those physicals and whether this was more a mine or processing plant impact around weather and grade, just given, I think at last quarter, you had the better part of 5 months of ROM stocks there. So I presume it would be more of a mine and grade impact. So just any color there would be helpful.
Ivan Vella: Yes. Thanks, Hugo. It is. Look, it's mine related. The processing plants are fine. I mean there's work to do on them in terms of maintenance and just asset performance, but the driver here is from the mine. The weather impacts, as I said, in 2 parts. One, just material movements. Trucks are moving slower, cycle times are longer. There's just more impacts because you lose productivity with all of the wet impact. The second is just standing water through the pit and access to that high-grade core, which means that we're drawing off either lower-grade stockpiles, in some case, oxidized material and, of course, some of the lower-grade material in the pit. So it's a confluence of events that affects us. But the core of this is that pushback on that western side of the main pit, which exposes that high-grade core as that's completed, and that's work that goes -- is ongoing through into early next calendar year. Once that opens up, of course, we have a nice runway looking forward. I know Rob is working to try and as you get through the life of mine optimization to just think through the pit sequence, the mining sequence and try and stabilize this as much as possible, value first, but equally just trying to get the very best out of the plants. We don't want to have to adjust those dramatically because that affects recoveries and overall throughput performance.
Hugo Nicolaci: So then if I can just -- in terms of how you expect the rest of FY '26 to look, I appreciate that the calendar year is still going to be budgeted for the JV, but you've called this roughly in line with plan. So I guess relative to FY '26 guidance, should we expect production to pick up quarter-on-quarter from here? Or is December likely to still see some impacts and it's more of a second half story?
Ivan Vella: Yes, it's more a second half story, Hugo. This quarter will be similar. Obviously, we have less of the wet weather. All that said, it's been raining again today. I don't know when we're supposed to be in this beautiful period of just 200 days of sunshine in WA and it keeps raining. But no, I think, the weather is less of an issue now. It's really just more about where they are in the mine sequence, and that will impact this quarter. So we're going to see that the second half of the financial year, i.e., the first part of 2026 is where we'll see that lift. We don't see any cause to change guidance. I mean we saw the mine plan. We saw what was coming and put that forward. I know everyone thought that, that was conservative. We don't know where CGP3, how quickly that will ramp up. That's probably still the wild card. We put in a view based on what we expect on the plan. But at this point, that guidance really looks quite sound.
Hugo Nicolaci: Got it. And then just if I could just put some numbers around the mine piece in the quarter. Last quarter, you did 1.4 million tonnes at $1.86, I think where did that sit this quarter?
Ivan Vella: Sorry, we just got a bit of background noise as you came through. Can you just repeat that?
Hugo Nicolaci: Sorry, just on the mine physicals, just in terms of ore tonnage and grade, just able to give a little bit of color there?
Ivan Vella: You mean just general material movements and so on.
Hugo Nicolaci: Yes.
Ivan Vella: Look, yes, it's down through this period just because of the weather. As I said, you're naturally not getting the same truck movements and productivity. But overall, Rob and Adam have been stepping that up on material movement. So I think as they get through winter, that productivity will improve. They're far from what you would call good, and that's -- I think I've been quite open and candid that the contractor performance there has not been at what I would call industry average or standard, and they're working on it. I think there's a great program. It's trying hard. Rob's had very intense focus on it, and they are making improvements. But look, it's -- in terms of progress to plan, I think we're comfortable in making the headway through the strip.
Operator: Your next question comes from Daniel Morgan from Barrenjoey.
Daniel Morgan: Just a question about market communication, I guess. So I mean, the grade in the mine sequence, obviously, you've outlined today, that's a big driver of the mining physicals that we've seen at Greenbushes in addition to weather, which can be unpredictable. But when you communicated with the market and gave guidance, why not just simply flag market, don't forget or just FYI, there's going to be a grade that's going to be a bit lower in Q1, Q2?
Ivan Vella: Sure, sure, Dan. I mean we can do our best there. It's a function of what we can share through our JV. We'll keep that in mind and do our best to keep you guys informed so you can see the variability through the year.
Daniel Morgan: And I guess the question is -- the second question I've got is just the intention with CGP3 and the collective JV mood on how you're going to ramp that up? And is that going to be very much subject to the speed of that ramp-up? Is that going to be subject to market conditions and the improvement there? Or -- and I guess, if the market is not sufficiently strong to run everything, might there be a decision to take down and do a big maintenance program at some of the other concentrators to have a look and go, well, let's see if we can improve, do recovery improvements or whatever it is to make them best-in-class so that when the market improves, you're running well?
Ivan Vella: No. Look, we've got a clear plan as I sort of signposted last quarter as well. The plan is to ramp it up as quickly as possible. There's no change to that. The 2 customers who are also owners are very keen to see those tonnes flowing. That's the plan, and that's what we're working towards. So we're pushing the team on construction to hurry up and get finished and hand it off. The ops team are ready. They've already commissioned the dry plant. There's a bunch of material already crushed and waiting as a stockpile to start feeding the wet plant. As soon as that's finished, they can start commissioning and get on with it.
Operator: Your next question comes from Jon Sharp from CLSA.
Jonathon Sharp: Just a question regarding the dividend. So Windfield, they paid a $50 million dividend to JV partners in September. Just what -- when do you expect TLEA to pass these distributions on to IGO?
Ivan Vella: Look, Jon, yes, with a relatively modest dividend from Greenbushes or Winfield. That said, nice to see that such a strong cash conversion at the site even through the bottom of the cycle. It's generating cash, and we're covering all of that growth CapEx and so on. The distribution to TLEA, obviously, we need to make sure we can fund the work at Kwinana, while there have been improvements there, it's still every tonne that's produced effectively cost us money. And I don't expect any of that money to flow back out to the shareholders of TLEA, i.e., TLC and IGO at this point.
Jonathon Sharp: Okay. And just interested in your thoughts on there's been recent commentary about a floor price for lithium producers. another producer talked about the unintended consequences of such a policy. Just interested in your view, how you see this? Would it be good? Would it be bad? What your thoughts on unintended consequences are?
Ivan Vella: Yes. Look, Jon, I mean, I'm not going to comment more broadly on the market positioning. I think the takeaway is that the Australian government, the U.S. government and the Western governments are recognizing the criticality of critical minerals and the need to support diversified production there. They're trying to find the best pathways to do that. And I think that's something we should all thank them for and recognize. It's great to see a little bit of sunlight and interest in our industry. There are various mechanisms, how they do it. I mean, I think there's a good consultation process they're going through to manage and come up with the best pathways and I support the work they're doing.
Operator: Your next question comes from Matthew Frydman from MST Financial.
Matthew Frydman: Ivan, maybe a bit of a high-level one for me. It's coming up on 2 years in the job for you. Clearly, a lot has changed in the business. But over that time, IGO has underperformed all the other Australian lithium producers. Compared to your peers, you haven't had a major governance crisis. You haven't had to raise capital. You've got the best asset, you're actually growing production. You've got a strong balance sheet. But clearly, the market is choosing not to value these attributes. Talking to investors, they might point to a lack of clarity over the life of mine plan and the value that's inherent in Greenbushes or maybe they might point to the poor performance at Kwinana which I guess, in my mind, both link back to the more fundamental issue, which is really a perceived lack of influence in the JV. So I know that's a lot of words, but really, the question is now 2 years into the role, the business had a strategy refresh a year ago. Looking forward now, what's the time line now for shareholders to expect a resolution to these issues?
Ivan Vella: Okay. Thanks, Matt. And I think it's a good roundup of the key issues. And I've been, I think, quite open about that. Naturally, the ability to look through into, I guess, a full perspective on Greenbushes, its potential, its performance and so on, we're feeding it out more backward looking. And I know as Rob -- and he's only just a year in the job now, as he gets through that optimization work and he lays it out his ability to share that with us and inform the market, I think, is very important. So I think that will be a key factor. Secondly, I guess, is then just the overhang that Kwinana presents as a drag on those -- on the cash generation and the benefit that flows out of Greenbushes. I guess, 2 years ago or so when I started, there was probably still some optimism in the market around the refinery and the potential there, something that we spent time studying pretty hard and trying to deeply understand the economics and the potential there, and we came to a conclusion that both the asset itself and the positioning in the Australian context was pretty challenged, hence the view that we took on it. And that obviously then translates into some conversations that are ongoing with Tianqi about the JV and the structure there, which is not complete. I can't give you a time frame or a date for that. It's work that we're working through. And we expect that as that's resolved, that will unlock some of the discount or some of the anxiety that probably sits around the potential of Greenbushes. That said, I think also in a low point of the cycle, and no one's got a crystal ball to see how the lithium world plays out, but to expect that it continues at this level forever is probably not realistic. Naturally, when you're in that low end, those negatives are amplified. I can imagine that the price moves, the cash is flowing, things look very different because this is a very highly leveraged asset. And you can imagine with the extra production coming online from CGP3, when you flow that through, that's going to have a significant impact on the cash generation for all of the joint venture partners. So you've summarized the issues. We're working very hard on them. I think we've been quite transparent about that -- the work and the issues. And I see that as critical outcomes to unlock some of the discount on our equity.
Matthew Frydman: Yes. I appreciate that. Maybe not so much a follow-up as a general comment. But I mean, myself and other analysts have asked repeatedly for, I guess, some more specifics around these ongoing optimization studies. I think your share price would tell you that, that's a little bit too general for the most material assets and the market is telling you that they want more clarity on the assets. So -- and additionally, arguably, you've got an obligation there to your shareholders, I guess, despite the commerciality elements of the JV. So I know you said you're not able to give it currently, but certainly, any specific time line of what you're wanting to capture in those studies and the timing of when you'd like to release them to the market would, I think, be very, very welcome. So thanks for that.
Ivan Vella: Yes. I completely understand Matt, and we're working hard on that. So your point is well made.
Operator: Your next question comes from Tim Hoff from Canaccord.
Timothy Hoff: I was largely looking similar questioning to Matt's line of questioning. But just wanted to confirm that, that optimization study will come out to the market in some form. Like I know, obviously, it's not going to be as comprehensive as what you see, but we will get to see that and I presume this year.
Ivan Vella: Well, yes, look, Tim, once the team has done their work and they're ready to share that, we'll work through that with the joint venture and then determine exactly what and how we share that. So I mean, naturally, everyone's got an interest in telling that story about Greenbushes. But I think letting the team work through and make sure they've got a comprehensive answer, and they've worked through all of the different questions is important. So I don't have a date for you. Naturally, we're eager, we're pushing. And Rob is, he's driving this really hard, but there's a bit more complexity than 100% owned asset, obviously, to work through that.
Timothy Hoff: Yes, for sure. And then perhaps just around pricing. Obviously, that 1-month lag has impacted you guys picking up with the worst of the pricing in June. As you're looking at the profile now and as we're seeing pricing improve, I guess there's been some mixed commentary on pricing forecast, but we are seeing an improvement here. Is that translating to the shipments as you're watching them go out?
Ivan Vella: Yes, for sure. I mean I think we took a bit of time to look at realized pricing over the last 18 months or 2 years. And to be honest, without a sales and marketing team, we're getting great outcomes. So I'm very comfortable that the model that we've got in place gives us equal best value, certainly better than a number of our peers in the market. So it's certainly delivering good outcomes for us.
Timothy Hoff: Look forward to December quarter numbers.
Operator: Your next question comes from Kaan Peker from RBC.
Kaan Peker: Just on Greenbushes and Kwinana, it looks like CapEx spend is running below guidance rate. Could you maybe add some detail around that? And I'll with a second.
Ivan Vella: Yes. Look, I mean, it's just starting to taper now, Kaan. I don't want to get into a debate on guidance. We've put that out. We think that still stands. Naturally, as I've signposted in previous quarters, Rob and the team are being very, very focused on CapEx spend, and there's a lot of scrutiny on the dollars that are being applied across the business. We don't want to obviously compromise the assets. So they'll put the investment into asset health and to asset performance. But all of the extras, all of the other nice to have, they're challenging. They're also challenging CapEx intensity to make sure that we're getting the best value for every dollar that is spent. So look, to be honest, if we get later into this financial year and we have a down step in guidance, that would be fabulous. But right now, we're saying, look, that's our guidance. We stick with it. We're just pleased to see that continued tension on capital spend. And again, I know back to Matt and Tim's comments, you'd love to have -- and I had this question 20 times, what is the sort of medium-term dollars per tonne of capacity and CapEx that we can guide on. And I'm chasing it, we'll get to it. That's the kind of thing that's helpful for you to do your modeling and see what that full value of Greenbushes will be.
Kaan Peker: Sure. Maybe I'll ask another way in your words, the nice-to-have component of capital spend for both Kwinana and Greenbushes, what percentage of capital spend does that make up for this year?
Ivan Vella: I'm not sure I can answer that. I mean, the point is we're -- every individual project is stress tested and challenged. I'll give you an example. I know in the plan, it's an anecdote, right? They had some car parks they wanted to pay with bitumen and they said, but we're not going to do that, and we're just going to leave it as crushed rock, was that nice to have or whatever. But the point is we're going to challenge and say safety, asset health, asset performance, these are the kind of things that need CapEx. Have we got a strong business case? Can we see what the NPV IRR on that particular project is? Can we see what the time for payback is? Can we see that we're getting good value for money? They're all the questions that the team are now asking in a consistent capital process. That was not the case just 2 years ago when I started. I can assure you it was a very different approach. And Rob's brought with his commercial team, a lot of discipline and focus there. And I don't sit there and go through and try and differentiate within those projects, they're making wise decisions. We have a committee that each of the JV partners have reps on that sits and works through that on a routine basis. And I think they're making good decisions to drive very careful capital allocation across the business.
Kaan Peker: And then the second one, again, on Greenbushes is maybe around what specific actions could be included in that mining optimization program besides opening up the ore body. Any sort of detail around there, blending, tighter feed control, anything that you could sort of add to that conversation?
Ivan Vella: Yes. And we go back to the last couple of quarters, we've had slides on this. There's kind of a list of the programs that are underway. And certainly, there's the -- looking at the ore body itself, or characterization, block model, the schedule, et cetera, which is the big picture. Then you do get into the different head grades and how we do blending and the run of mine feed into the plants. The asset health and asset performance of those plants and making sure you're getting lots of uptime that drives recoveries and throughput, product grades, the recoveries. I mean, it's a pretty full program. I don't think there's anything I've worked through in my experience in other mines that we're not tackling as a lever here. Rob's got a lot of fronts open he's working on to drive that uplift and improvement -- uplift and improvement in performance. So if you went through that list from prior quarters, and we can drop it in and maybe try and add a bit more color for next time, that's all in play.
Operator: Your next question comes from Levi Spry from UBS.
Levi Spry: I just come back to a couple of questions at the start. So just in terms of guidance, can you talk through what's embedded in your guidance for the ramp-up of CPG3? I think previously, you said a 12-month ramp-up, and this quarter is going to be the same as last quarter. So can you just walk us through that for the second half?
Ivan Vella: Yes. I haven't -- we're not breaking that out specifically, Levi. We've got obviously the plan that the team has put together. We're not going to overpromise on a ramp-up because you never know how those things start. It should be a rapid ramp-up front-end loaded, but you don't want to bank that. We don't provide a breakout of the guidance or that detail at this point. So I can't give you any more detailed clarity. Once we start, we can probably give you an update and indicate how we're seeing that against what we anticipated. But at this stage, I guess the key takeaway is that we expected that the first half of this financial year would be softer given grades. And obviously, we'd have a stronger production rate through the second half of this financial year.
Levi Spry: Okay. And then in terms of finished inventory, can you give us a feel for where that sits today, I guess, at the end of October, you built a bit during the quarter.
Ivan Vella: I'm not sure what's the question? You're asking about inventories.
Levi Spry: How much concentrate inventory you've got flowing around?
Ivan Vella: I don't have the number on top of mind. I don't know if you do Kath. No. No, I don't have that, unfortunately, Levi. I think you saw through the last 2 quarters, I mean, sometimes timing of shipments can move and we'll get a build and then a drawdown. There was a big run out in July. I don't have the sort of at hand inventory number in front of me now. I mean I'd say, look, there's not much to see there. I mean the team they ship it as we produce it. So yes, I think it's pretty stable.
Levi Spry: Okay. You built 20,000 tonnes for the quarter. Yes. All right. And then just in terms of conversion costs at Kwinana, just confirming that there's no cost for spot in there?
Ivan Vella: No. That's just the product conversion costs.
Operator: Your next question comes from Mitch Ryan from Jefferies.
Mitch Ryan: Just one question for me. Can you just quantify the financial impact of the lithium support program at Kwinana, please?
Ivan Vella: Yes, we don't break out the specifics there. That's just a function of those agreements. I would say we are receiving benefits. They're very welcome that the West Australian government is contributing, but we don't actually carve out the quantum of that, and that's just a function of the agreement.
Mitch Ryan: But that would be offsetting the conversion costs or helping to keep them.
Ivan Vella: Yes. Sorry, yes, it does offset the conversion costs naturally. So things like our energy costs and other consumables, there's obviously a benefit there.
Kathleen Bozanic: And just to add to that, it is not lumpy anymore. We had a catch-up in the last couple of quarters. So it's stabilizing now.
Mitch Ryan: Okay. So does that mean you're receiving it on a monthly basis or similar?
Kathleen Bozanic: Yes, or similar, balance through the quarter.
Operator: Your next question comes from Ben Lyons from Jarden Securities.
Ben Lyons: Just one question from me, a similar line of questioning to Frydman and Holf, I guess. Just noting the exploration costs of $10 million and the corporate and other costs of $20 million for the quarter, if I include the share purchases there. I mean, Kath called out short-term incentives as being a significant part of that. So what was the extent of those incentives given the sustained underperformance of this business? And when can we expect to see a meaningful reduction in the level of corporate costs given the relative lack of operated assets in the business?
Ivan Vella: Well, Ben, we don't -- we didn't provide any detailed guidance on the breakout. I mean you can go through the rem report and you can sort of see that in the annual report has got all that background and detail in it. The corporate costs, I mean, if you -- and we've looked at the numbers, if you do the comparison, and we aggregate our corporate costs, we don't allocate a lot back to Nova. I think we've continued to trend those down. We've explained the work that's been delivered around Forrestania and Cosmos. So we've sort of addressed those assets. I feel like the team has made great progress reducing those costs quarter-on-quarter since I've been here. And they've been very frugal and focused on it. We've benchmarked that we feel like that work is -- where we're sitting is in good shape and a function of where we're at with Nova. Naturally, as Nova winds down, then we'll look at obviously what that needs to be in the context of the rest of the business. But I don't think that's out of step. The exploration spend, we've obviously made a massive change from where we were when I started in the business and signposted that, the work that's going on, targets we're pursuing, everything there is going through a lot more rigor in terms of the financial and economic assessments before we commit to it. And we'll continue to keep that challenge up, but we feel like that's an important part of our business and where we're investing for value.
Operator: Your next question comes from Austin Yun from Macquarie.
Austin Yun: First question on Kwinana. Just I note that your JV partner commissioned a new hydroxide plant in China in September and the commissioning and ramp-up seems to be working all right. Just wondering if there has been any discussions post that from the JV side for learning for Kwinana? Or would that serve as a wake-up call for them to really be more ready to work away on Kwinana. Circle back with the second one.
Ivan Vella: Okay. Thanks, Austin. Look, you'd have to ask Tianqi for more on their views on Kwinana. But yes, certainly, we follow from a distance, probably don't have any more than you do. They've done an extremely good job ramping up their new asset in China, very good construction, commissioning ramp-up. It's been a great story. And it's parallel of what we see on many other refinery assets in this space in China. I think it just points to the nature of the challenge at Kwinana. It's fundamental to the design and construction and engineering of the asset here. The team are not doing their best. They're trying hard every day, but they are fundamentally challenged with the reliability and the underlying engineering and performance of the assets they're faced with, which is a pretty high bar to get over.
Austin Yun: Second one, just on the Greenbushes, quite clear on the production profile, which will be second half weighted. Keen to understand the shipping profile if there is any flexibility for you to pump out a bit more in the second quarter. Just noting that the market is tightening now. We can see visible lithium carbonate inventory going down, the futures price is going up. So can you take any opportunity to sell more product?
Ivan Vella: Well, I think, look, we basically work on a model of just selling and shipping whatever is produced. There at some points will be some congestion and challenges, just normal port operations. But you've seen in prior quarters, the team's ability to ship and sell materially higher volumes than this quarter, for example. So I don't think that's a big issue. I know Rob has been working through the plans for the ramp-up with CGP3, recognizing the extra volume they need to deal with. They've got a good plan in place. So I think we'll basically just continue to target a place -- a situation where our sales and shipping matches or broadly matches production quarter-to-quarter.
Austin Yun: Okay. So the second quarter will still be production matching the sales number?
Ivan Vella: Correct.
Operator: There are no further questions at this time. I'll now hand back to Mr. Vella for closing remarks.
Ivan Vella: Okay. Thanks, Darcy. Look, thanks for the questions. And I guess I'd just reflect on the drive or the pull for more information. I hear you, and we're doing our best. We will share what we can. Naturally, that's within the context of the joint venture. And I appreciate how important that is for you to get more visibility and more confidence in what is the best hard rock lithium asset in the world. Rob and the team are doing really, really good work improving that. They're working through a bunch of issues and challenges as they look at that long-term plan and really optimizing it. And naturally, that's a big part of what I know will also help build your understanding of where their focus is and what sort of improvements you can expect. To summarize key messages, look, first on safety, I'm really pleased to see the continued improvement there, and that's something that we'll keep focused on right to the end of Nova's life. Naturally, the lessons and the maturity that we build through our business will carry with us. Nova had an in-line quarter and delivered well against what we expected from our mine plan. We're tracking well for the life of mine nickel tonnes that we've indicated. And I think the last point was just I take your questions, Ben, but the team are managing costs very thoughtfully. We continue to challenge every dollar we spend, and we've generated positive cash flow through this quarter, which I was really pleased to see. We're very conscious that we don't want to spend beyond our means and ultimately protect the strong balance sheet that IGO has and prepare ourselves for the future on that basis. Thanks, everyone, for joining and listening in and covering some good questions.
Operator: Thank you. That does conclude our conference for today. Thank you for participating. You may now disconnect.